Operator: Good day everyone, and welcome to the KAR Auction Services Incorporated Fourth Quarter and Year End 2013 Earnings Call. Today's conference is being recorded. At this time, I’m pleased to turn the conference over to Mr. Jon Peisner, Treasurer and Vice President of Investor Relations. Please go ahead, Sir.
Jonathan Peisner: Thanks, Jennifer. Good morning and thank you for joining us today for the KAR Auction Services Fourth Quarter and Year End 2013 Earnings Conference Call. Today, we will discuss the financial performance of KAR Auction Services for the quarter and year ended December 31, 2013. After concluding our commentary, we will take questions from participants. Before Jim kicks off our discussion, I would like to remind you that this conference call contains forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties that may affect KAR's business prospects and results of operations, and such risks are fully detailed in our SEC filings. In providing forward-looking statements, the company expressly disclaims any obligation to update these statements. Lastly, let me mention that throughout this conference call, we will be referencing both GAAP and non-GAAP financial measures. Reconciliations of the non-GAAP financial measures to the applicable GAAP financial measures can be found in the press release that we issued yesterday, which is also available in the Investor Relations section of our website. Now I'd like to turn this call over to KAR Auction Services CEO, Jim Hallett. Jim?
James P. Hallett: Great. Thank you, Jon, and good morning, ladies and gentlemen, and welcome to our call. We have much to discuss so I’ll get right to it. Let’s reflect back a little bit on 2013 where we had adjusted EBITDA of $538.2 million which was an 8% increase. Our net revenue was up 11% to over $2.1 billion and our adjusted earnings per share was $1.19 which was also up 11%. We continue to focus on generating free cash flow on all of our businesses and in 2013 we produced free cash flow of $309 million. So, all in all I feel very good about our financial performance for the year. There is no question that 2013 was an interesting year, as you will recall we started the year dealing with Superstorm Sandy and we’re also looking forward to the cyclical recovery that we were expecting to take place in the second half of the year at ADESA. As we think about the Sandy cars we’re able to sell the Sandy cars very quickly, in fact, we sold over 50,000 Sandy cars by the end of the first quarter and this was a tremendous effort by the entire team at Insurance Auto Auctions and I believe that the strong performance was recognized by our customers and we are able to achieve market share gains with several of our top U.S. auto insurers. I would say that IAAI’s financial performance following the first quarter I would describe it as being exceptional. Turning to the whole car business, we expect that the industry would sell approximately 8.7 million vehicles and that this increase would be driven primarily by commercial vehicles especially with the off-lease segment and we believe that this has happened as we expected. This increase in off-lease supply has led to strong growth in our online only sales at adesa.com which is carried by our OPENLANE technology. And maybe just to provide you with a little additional color that we haven’t provided in the past is our online only sales at ADESA was 410,000 in 2013 and that compared to 310,000 in 2012. No question that with the 2013 online only sales very heavily weighted to the private label closed program and as we look at the online only sales mix, it did lead to a reduction in revenue per vehicle sold which Eric is going to provide more color on in his detail. Turning to the holding company, we did see increased costs, we had significant non cash compensation costs related to the profit interest and we experienced much higher costs for our medical benefit plans again I will leave the details to Eric here in a few moments. So, enough looking back, let’s look forward and looking forward we continue to see the cyclical recovery in the whole car industry, I had mentioned to you that the industry achieved what we believe is 8.7 million car sold in 2013 as we expected. We would expect that that number will grow to 9.1 million vehicle sold in 2014 and then furthermore we would expect that the volumes will grow to at least 9.7 million vehicle sold by 2016. We’re seeing some very positive trends that you may be aware of, as you know SAR came in at approximately 15.6 million vehicles for 2013 and that number is expected to increase to 16 million in 2014. Lease penetration rates continue to grow and we’re seeing looser credit standards beginning to show up in the increased number of repossession. So, as you think about some of the major drivers of our business is the SAR, lease penetration and obviously repossessions. If I can turn a little bit to technology, we continue to invest in technology, as you know, our private label close sales, we believe we will continue to increase our market share. We’ve approximately 90% of the private label programs in the industry and as I’ve said in the past that allows us to get the car at the top of the funnel and we think that will continue to increase our opportunities going forward. But, I also think it’s important to note that we’re going to continue to support every channel that we can to possibly sell a car. Our goal is to sell as many cars as we possibly can and as many channels as our customers demand. And as you think about this increase in off-lease vehicles over the course of the next three years, we do expect that more of these cars will get to physical auction. And as these vehicles get to physical auctions we do expect that we will see an increased utilization of our ancillary services for a couple of reasons. Number one, I believe that the sellers are going to need to enhance the condition of their vehicles just to drive the resale values in the residuals, but from a competitive standpoint I believe this is going to be the differentiator for the sellers in terms of the increased competition that there is going to be at the physical auctions as well as the physical online and definitely expecting that we will see an increased use in these ancillary services. Big area of focus for ADESA in 2014 is going to be in our online only open environment. You know, we’ve talked about the closing environment and then we talked about what happened when the vehicle goes from the closed environment to the open online environment. We know that the economics get considerably better and if I could just for a minute give you an illustration, if you’re talking about a closed private label program, you’re talking about a buyer base of roughly of 2,000 to 3,000 dealers and then I could go furthermore and say how many of those dealers would be within our 500 mile radius where it would make sense to actually buy and ship a car. Well, when you go to a open online not only do you increase the economics, but you dramatically increase your buyer base. You now pick up 17,000 to 18,000 franchise dealers as well you pick up approximately 37,000 independent dealers so you dramatically increased your buyer base and this is going to be the area of focus for ADESA in 2014 is getting more and more of these buyers familiar with our open platform in buying these cars in the open platform before they go to physical auctions. So, with more focused online, better economics, a great platform and adesa.com powered by OPENLANE, a great physical footprint across the country, we believe puts us in a great position to increase our market share in 2014 and going forward. With that I’ll turn to Insurance Auto Auctions and say that there has been some recent RFP activity with the largest insurance companies in the U.S. and we’ve increased our market share with many of these companies and interesting enough we’ve increased our strongest market share has come with some of the fastest growing auto insurance carriers in the U.S. We did experience double digit volume growth in 2013, we expect growth to continue at IAAI, but perhaps not quite at the same level. There continues to be strong demand for aftermarket recycle parts and activity in the collision repair industry supports the demand for salvage vehicles and the number of auto insurance claims that are resulting in a total loss has now exceeded 14% which bodes well for things at Insurance Auto Auctions. Turning to AFC, again, AFC continues to be a leader in the floor plan lending to independent dealers, as you know, our securitization provides a low cost to capital and we feel we have plenty of room to grow our customer base within AFC. Our growth rate over the past three years at AFC has exceeded the industry growth and we do expect that the growth may moderate somewhat, but we also feel confident that we can still outperform the market, but perhaps not at the same level as we are seeing increased competition as there is easier access to capital. So, our focus at AFC has been and will continue to be about the total service that we provide these independent dealers and it goes way beyond just loaning the money. It’s providing them other back-office services and other products that can make it easier for them to do business and I think a good example of that is for further warranties which is acquired in 2013 and we will continue to look for products and services at AFC that fit that customer set that we can continue to grow that business as we grow forward. In terms of looking at our guidance, we expect to increase our revenue, our adjusted EBITDA and our earnings per share over the next several years. Our 2014 guidance we expect adjusted EBITDA of $580 million to $600 million of adjusted EBITDA. Our adjusted earnings per share of $1.31 to $1.42 and again we expect our cash flow to exceed $300 million. Our dividend, our board recently approved the first quarter dividend payment of $0.25 per share, which will be payable on April 3 to the shareholders of record on March 26. And we are in the process of refinancing our existing credit facilities, we expect to launch that process in the next several days and again I will allow Eric to give you the color on that. Weather is always in the news and I can say that we probably have experienced a pretty harsh winter across the country certainly a record here in the Midwest, but customers ask me and customers, I should say investors ask me often as how is weather affect our business and I would tell you that we expect to face some weather challenges every year. And the way effect may come more or so on a week to week basis, the weather can have an impact obviously it can expect our labor cost, it can expect our conversion rate, our tendency at auction and ultimately our volume sold. But, over the course of the year, I would tell you that weather will not have a material effect on our performance unless there is some catastrophic event like the Superstorm Sandy that I hope we never have to experience again. And I think everybody understand what’s the upside is here at Insurance Auto Auctions with the additional volumes that would come to Insurance Auto Auctions through the course of the weather that we have been experiencing. So with that to kind of ramp up my comments, I would say couple of things, number one, I’m proud to tell you that we have reached our leverage target of three times, we will continue to focus on growth opportunities going forward as well as returning to our shareholders will remain a priority. And I believe that KAR is well positioned in 2014 and beyond. I absolutely believe that we are now a leader in technology and as well believe the technology is going to be the differentiator for us going forward and I think it’s this combination of technology along with our physical footprint that really creates the value for our customers. The fact that we are going to allow our customers to choose to transact business to any channels that they decide that they wanted to do business in, we are going to make sure that we provide them the best venue and we will provide them with the best service that we possibly can. So with that I’m going to turn it to Eric and then will come back to you for some Q&A. Over to Eric.
Eric M. Loughmiller: Thank you, Jim. I will start by summarizing our 2013 financial performance in identifying the significant non-cash charges that were recorded in 2013. KAR recorded revenue of $2.173 billion in 2013. All three of our business segments reported increases in revenue with ADESA up 6%, IAA up 16% and AFC up 16%. Consolidated gross profit as a percentage of revenue was down in 2013 as compared to 2012 at 43.3%. However, if we excluded the revenue and related costs associated with Superstorm Sandy vehicles processed, our gross profit is consistent year-over-year at about 44.5%. Jim mentioned we are providing enhanced disclosure of revenue per vehicle sold for ADESA. We are now providing the revenue per vehicle sold for online only sales and the revenue per vehicle sold for cars sold from our physical auction locations. For online only sales average revenue per vehicle sold was $118 in 2013 compared to $126 in 2012. The increased sales in the private label closed venues which make up the largest portion of our online only sales is the reason for this decline. On our physical auction sites, we saw an increase in average revenue per vehicle sold to $651 for 2013 from $644 in 2012. These two components blend to an average revenue per vehicle sold of approximately $545 in 2013 compared to approximately $560 in 2012. I hope this additional disclosure is helpful in your understanding of our performance at ADESA. I would also like to comment on the gross profit at Insurance Auto Auctions. We have seen our gross profit as a percent of revenue decline since the peak in 2011 in the first half of 2012. This decline was expected as we were experiencing record levels of proceeds at the salvage auctions which contributed to increases in revenue per vehicle. We knew this level proceeds would not be sustained and since the second quarter of 2012 we have seen proceeds moderate. In addition, we sourced approximately 7% of the vehicle sold by IAA by purchasing the vehicle. As I described before this requires us to recognize the sale price of the vehicle as revenue and the purchase price of the vehicle as cost of services. Prior to 2012 purchase vehicles represented 5% or less of our volume sold, purchase vehicles represented 7% of vehicle sold in both 2012 and 2013. This accounting treatment reduces our gross profit as a percent of revenue. In addition, we have seen total cost increase in 2013. This has also contributed to a very modest decrease in our gross profit percent. As I look forward, I expect our gross margin to improve from the 2013 levels as long as the revenue from purchase vehicles has not become a greater portion of our total IAA revenue. KAR’s general and administrative expenses for the year include $67.2 million of noncash stock compensation expense. The profit interest components of this charge totaling $52.1 million is not deductable for tax purposes. This reduced our net income per share for the year by $0.43 and for the fourth quarter by $0.33. The profit interest expense is now behind us as all of the stock held by KAR holdings to LLC has been sold. We will have an additional $23 million of expense related to the exit options held by a broad group of KAR management. These options are currently not vested and will vest when KAR meets the performance criteria. Generally, KAR stock was closed at $30 and $35 for a minimum of 20 consecutive trading days in order for any of these shares to vest. The expense related to the exit options is deductable for tax purposes but only when the options are exercised by the holder. The increase in our medical benefit costs also accounts for substantially the remainder of our increase in SG&A for 2013. As Jim mentioned, we had negative experience in the plan in 2013 and as a result our medical cost have exceeded our expectations. In total, our medical cost increased by approximately $9 million over the prior year and the company had to absorb all of this additional cost. Let me walk through the calculation of free cash flow for 2013 with you now. We had adjusted EBITDA $538 million. Our cash interest expense on corporate debt totaled $75 million, cash tax payments were $57 million and capital expenditures aggregated $97 million. This nest of free cash flow of $309 million for 2013 which represents $2.19 per share. From this free cash flow we used $46 million to acquire businesses in 2013,we retired $53 million in long term debt and returned $79 million to shareholders in the form of dividends. Now let me turn to our guidance for 2014. Jim has mentioned our adjusted EBITDA is expected to be $580 million to $600 million. Our cash interest expense on our corporate debt is expected to be $68 million, we expect our capital expenditures to be about $105 million and our cash taxes are expected to be $105 million to $115 million for the year. I would like to take a few minutes to talk about the significant increase in our cash taxes. We had cash taxes of only $57 million in 2013 and now that number will nearly double. As we mentioned in our earlier conference calls this year, we’ve benefited from some tax planning strategies that were implemented in 2013 that allowed us to deduct certain capitalized IT costs. This reduced our cash taxes in 2013 by approximately $20 million that will not recur in 2014. In addition, we’ve been utilizing net operating losses and will have less in wells available to us in 2014. And last we’ve substantial savings from deduction of debt issuance costs in 2013 as we increased our borrowings on term loan B and used the proceeds to extinguish the floating rate notes that remained outstanding. In summary, our free cash flow for 2014 is expected to be $302 million to $312 million. This will be $2.12 to $2.19 per fully diluted share. We’re working on a couple of initiatives that could result in improving our free cash flow in 2014. First, Jim mentioned our intent to launch the refinancing of our term loan B facility. The current credit markets being offered the opportunity to generate cash interest savings in 2014 as part of pursuing this refinancing we’re also seeking to provide the company with greater flexibility for making capital expenditures and for making restricted payments. We plan to launch the refinancing process in the next few days and there can be no assurance that we will successfully complete this refinancing. Our guidance on cash interest on corporate debt does not include any potential savings from this proposed refinancing. We’re also pursuing a number of tax planning strategies that may offer an opportunity to reduce our cash taxes. As we develop these strategies, I’ll keep you posted on the impact on our cash tax position throughout the year. Now, let me finish with some commentary on where we’re spending our capital expenditure dollars. In 2013 just over $50 million of our capital expenditures was for technology, either software or hardware utilized in our various businesses. We expect this trend to continue with over half of our capital expenditure dollars being directed to technology projects. This is consistent with the trend for technology to be of increasing importance to our buyers and sellers. We still need to maintain our facilities for the cars to get to the physical auction sites, but we clearly see technology as an important component of our offering. Much of this capital investment is directed to projects that enhance the technology utilized in our online-only been use, but we are also enhancing our services offered from our physical auction sites, our condition reporting and the availability of analytics for our customers. So with that let me conclude my remarks and I will now return the call to Jennifer and Jennifer we will take questions from the investors.
Operator: (Operator Instructions) Our first question will come from Goldman Sachs and if you could please announce your name.
Matthew J. Fassler – Goldman Sachs Group Inc.: Good morning. It’s Matt Fassler. How are you?
James P. Hallett: Hey Matt.
Matthew J. Fassler – Goldman Sachs Group Inc.: So, a couple of questions for you. I guess first of all if you could just give us a little more color on your conviction that the mix of the incremental vehicles will skew more toward physical auction or certainly away from the other dealer centric online only auctions, obviously it looks like those cars represented the bulk of the growth that you saw in cars sold in 2013, what dynamics do you see playing out in your favor in that regard in 2014?
James P. Hallett: Yes Matt, this is Jim. Thank you for your question. I think it just comes down purely as case of volume, the franchise dealers are the dealers that buy these vehicles in closed environment and there have been a shortage of volume leading up to 2014 and I think that we feel and certainly others in the industry have the opinion that these franchise dealers are not going to be able to continue to absorb this kind of volume that’s coming out and there will be more of these vehicles get to the open platform and eventually triple to the physical sales just clearly a case of more vehicles to choose from and they are going to be maybe pass over some vehicles that they may have kept in the past.
Matthew J. Fassler – Goldman Sachs Group Inc.: Is it your sense that inventories are somewhat foray now or that perhaps a mix of the CPO may be as run its course or any sort of news on the ground that would incrementally support that view?
James P. Hallett: Opinion would be Matt that I think their inventory can reach the levels that they can absorb at this point in time whether it be through the CPO program or just through having inventory on the ground, they are able to buy all the inventory they want and at some point in time just not going to be the demand.
Matthew J. Fassler – Goldman Sachs Group Inc.: Got it. And one quick follow-up for Eric. Eric, as you contemplate the new financing deal that you hope to complete it sounds like in the next few weeks, are you also looking for any incremental flexibility in capital allocation including perhaps stock buyback, would that be part of your goal or is that secondary to lower cost of funds?
Eric M. Loughmiller: No, as I mentioned we are going to increase the flexibility for both capital expenditures which means we can do Greenfields and other things that might have been more limited and restricted payments which would include all the potential uses of capital for return to shareholders.
Matthew J. Fassler – Goldman Sachs Group Inc.: Great. Thank you so much guys.
James P. Hallett: Hey, thanks Matt.
Operator: Next we will hear from JP Morgan and if could please announce your name?
Ryan J. Brinkman – JP Morgan Chase & Co: Hi, it’s Ryan Brinkman. Thanks for taking my question.
James P. Hallett: Hi Ryan, how are you?
Eric M. Loughmiller: Hi, Ryan.
Ryan J. Brinkman – JP Morgan Chase & Co: Hi. Another capital allocation question, looks like you finished the year with I guess nearly $200 million, your forecasting generates over $300 million of free cash in 2014, I guess half of which roughly goes to dividends and that would leave you with potential I think just a lot more cash then you had historically, so can you remind us of what the minimum cash is you would like to run the business, you are at the leverage ratio you previously targeted and how would you balance the, the past backed for dividends versus repurchases versus potential acquisitions going forward?
Eric M. Loughmiller: Okay. First let me deal with the cash balances Ryan. Of that $200 million you will see in the 10-K that we expect file tonight that about a $148 million is available cash, the rest of that is cash that actually is call it earmarked for customers for the sale of their cars called the flow cash. So, and that’s always the case, we always have a little less available cash than the balance sheet cash, but the rest of your analysis is accurate that they will generate substantial cash and generally speaking we will just look at the best way to deploy that cash and Jim might speak to what our priorities are.
James P. Hallett: Well, I think really our priorities remain unchanged. We continue to look for acquisitions for growth in all of our businesses and that’s all with ongoing whether it be a strategic way or whether it be just be from a geographic presence, just a good opportunity to grow their acquisition, continue to provide a return to our shareholders and then obviously, there is obviously opportunity there to continue to pay down debt.
Ryan J. Brinkman – JP Morgan Chase & Co: Okay that’s very helpful thanks. And then, the 11% rise in ADESA volumes, can you just kind of put that in the context of maybe the industry, how much share there do you think you’re gaining, I know you attributed IAA market share against you having help that your customers during hit, hurricane Sandy, but what do you attribute the ADESA market share gain to, is it because of the stronger mixed toward institutional or is openly helping you or what do you attribute that to?
James P. Hallett: Yes. I think it’s coming from several segments Ryan and if you take it, we will enter the year with better 23% share and we’re now I believe at a 24% share and I would expect with my commentary, I mention that I would expect that we feel confident that we’ve the opportunity to continue to grow that.
Eric M. Loughmiller: And Ryan, I’ll add little more color. We really believe that our online venues provide us an opportunity to continue growing that share because we get a shot at those cars as Jim mentioned we have 90% of the programs, right Jim?
James P. Hallett: Right.
Eric M. Loughmiller: So, again, we get an opportunity to continue growing share and as you know from following us for a quiet of few years our commercial representation has always been stronger than dealer and as this recovery even backed to the 2016 is heavily weighted towards commercial, we would expect to perform at a very high level because of our concentration and commercial business over the history of ADESA.
Ryan J. Brinkman – JP Morgan Chase & Co: Okay, thanks. Last question, then just you mentioned that weather benefitting IAA, I’m guessing more in the back half of 1Q or kind of 2Q. Are there metrics that you can help us to think about how great that benefit could be for example the numbers of cars that you have been towing in and processing, how’s that been trending, how would you expect, would you expect that to potentially pressure 1Q earnings at IAA if the weather sort of remains bad benefitting you in 2Q or should most of the vehicles that you took in January and first part February potentially be auctioned off by March end?
Eric M. Loughmiller: I would say Ryan that we would, as this inventory is building now, this is inventory that would actually get solved primarily in the second quarter.
Ryan J. Brinkman – JP Morgan Chase & Co: Okay very helpful, thanks guys.
James P. Hallett: But Ryan, I’ll tell you we gave you a inventory number in the supplement that we sent out, inventory year-over-year, December 31 was up excluding Sandy from the prior year 10%, so that gives, I think that’s been a pretty good leading indicator of kind of how that business is done over the last three quarters of last year when we were giving that same number and it was quite strong as well.
Ryan J. Brinkman – JP Morgan Chase & Co: Right. Presumably it would increase even more at Sandy in January and February, I would imagine, right?
James P. Hallett: Well, I think we clearly know there has been lot of cars that have been off to side of the road getting picked up by tow trucks and we will benefit from that activity, we are not going to quantify right now but yes it’s been a very, it’s been a very difficult winter which makes for a strong supply of total loss vehicles typical.
Ryan J. Brinkman – JP Morgan Chase & Co: Right, good to hear. Thanks again.
James P. Hallett: Thank you Ryan.
Operator: We will now take a question from Bank of America, if you could please announce your name?
John Lovallo – BofA Merrill Lynch: Hi guys, this is John Lovallo from bank of America, how are you?
James P. Hallett: Good. Thank you John.
Eric M. Loughmiller: Hi John.
John Lovallo – BofA Merrill Lynch: First question would be, looking at some of the public dealers, I mean, the Auto Nation and Sonic, they appear to be making a pretty concerted effort to push more into used vehicles. I mean this kind of I guess, duck tails of a Matt’s earlier question. I mean, do you think that this is kind of more of a public pillar phenomenon or you’re seeing this on the private side as well and I guess along with that do you have any feel for what you think these dealers might view as a kind of the appropriate mix between new and used vehicles?
James P. Hallett: I guess John that will really comes down to the individual group or the individual declares as to how they look at their mix of business and what their selling mix and history has been. I think it’s a little bit different with everyone, but generally speaking I can say that over the last several years the franchise dealers became much better used car merchandisers because they had and so again, I can’t clarify it, but I would say that there is the continued focus on selling more used cars.
John Lovallo – BofA Merrill Lynch: Okay, that’s helpful. And then, kind of looking at your view that the more vehicles are kind of moved down the funnel if you will, if you look at least residual values, would you say that they are kind of now close enough to wholesale values where there is really no opportunity for consumers, dealers to kind of buy the vehicle in the money if you will?
James P. Hallett: Yes. I would say that the we have short memories when it comes to residual values and I would say that residual values are creeping back up getting more aggressive, just from the market share standpoint being more competitive and as those values creep that will be another indicator of these cars possibly getting to open and beyond to physical sales.
John Lovallo – BofA Merrill Lynch: Very helpful and if I can finish with just one question with Eric, just kind of a modeling question here, if I remember correctly, I think the first quarter conversion rate at ADESA was at 61.3%, the second quarter was 57.1%, third quarter 56.6% and I believe the full year we are seeing as 56.8%, would that imply that the fourth quarter conversion rate was some more in the low 50% range?
Eric M. Loughmiller: I don’t know what your numbers imply, but I’m showing a little bit different numbers for you but we weren’t that low in the fourth quarter, it’s been pretty consistent through the year and that kind of just above the mid 50s and that’s because of the mix of dealer cars, John. And in that number we’re excluding the online only sales and if you go back three four years as much higher, our online only sales were in there at a 100% conversion and we talked about it back in 2011. Now, we’re separating that and so it’s down a little bit. Now, the conversion rate will historically be higher in the first quarter because of the nature of the cars and the tax reason and there is a lot of buying activity. But, I think it’s been fairly steady through the last three quarters and kind of remains in that upper 50s and again the first quarter typically will have a little bit higher conversion rate and I would perhaps expect the same thing this year as well.
John Lovallo – BofA Merrill Lynch: Okay, very helpful guys thank you.
James P. Hallett: You’re welcome.
Operator: We will now hear from John Lawrence with Stephens.
John R. Lawrence - Stephens Inc., Research Division: Good morning guys.
James P. Hallett: Good morning, John.
Eric M. Loughmiller: Good morning, John.
John R. Lawrence - Stephens Inc., Research Division: Just a follow up on the previous question, can you talk a little bit about when you say that you were open up and from the private label, I mean, from the private sales to the open, that’s what you’re going to attack in ’14, what is really the sort of a tactical things that need to be done, I mean some of that technology, can you walk us through sort of those strategic tactics that need to be done in ’14 to enhance that business?
James P. Hallett: Yes, thank you for your question. I think, the biggest thing is getting out to the dealers one-on-one and getting them number one, familiar with the platform, marketing the platform, in some cases sitting down and demonstrating to them how to use the technology. I can tell you that we’ve put compensation programs in place for our general managers and many of our commercial managers at the physical auction sites to focus on online buyers. And I think it’s just an overall marketing program much like what we did with dealer consignment back four or five years ago as you remember, our dealer consignment has reached a low of 25% and we got busy with that when we knew that off-lease cars were going away and we took that percentage up to 50% just to focus. And I think it’s the same thing with the online buyers. We’ve now brought our online and our physical buyers all under the leadership of one of our Vice President, who leads up all of our dealer activity and going forward, he’s got a network of somewhere in the neighborhood of 250 to 300 actual what we call dealer consignment people on the road. They’re working at the physical auctions where they’re calling on dealers and going through much of the things that I talked about here and again it’s just one dealer, one day the time, bringing them to the platform and then helping them understand that and then and sending our people to really see the online buyer really no different than the physical buyer so seeing them all as buyers.
Eric M. Loughmiller: And John I would like to add we integrated the OPENLANE site with the ADESA site, now it’s adesa.com powered by OPENLANE Technology, in doing that the ADESA customer might have been more comfortable buying on live block and he now needs to be educated hey you can go onto the open environment of these other sites that they are accustom to go into, so part of that was integrating the site, right Jim?
James P. Hallett: Right.
Eric M. Loughmiller: We will and getting the customer use to the access to all of that inventory as opposed to waiting till they get the physical auction so that that open environment is before gets to physical auction but afterwards done with the closed private label sale, right Jim?
James P. Hallett: Right. Yes, if you would ask me what the utopian situation is I would say it would be to do a personal visit with all 57,000 dealers in the country. You would visit every single franchise dealer and you would visit every independent dealer and give them a personal presentation on our platform and al that goes with it.
John R. Lawrence - Stephens Inc., Research Division: So and to follow that just a quick dive into what technology you’re going to employ in ’14?
Eric M. Loughmiller: Well, that’s a complicated question because basically you want to enhance mobile, you really want to get more access to the PDAs in the mobile phones, in the devices so it is a new technology, it’s a new way to address or get into our technology that would be one, you are constantly dealing with network speed and storage and things like that, again to make it quicker, to make it a more efficient transaction, those would be examples that that I would give you and again just enhancing the various platforms that we have is that a fair way to say it Jim?
James P. Hallett: Yes, I think a lot of it is enhancement and definitely big moment towards mobile, I think someone told me the other day that there is going to be one billion of these phones shipped this year and more and more people are going to be doing business from a mobile device and we have been working on mobile as you know, we’ve absolutely clearly leader at Insurance Auto Auctions and we’re now incorporating more and more mobile into things that are happening at ADESA. So, I think it’s overall just making it easier being with the customer as wants to be and letting them buy the vehicles the way they want to see them and the way they want to buy them.
Eric M. Loughmiller: And John, I just thought of something from my comments, I mentioned condition reporting then you might talk about the importance of condition reporting as the buyers become more comfortable with online buying.
James P. Hallett: The most critical thing in buying a car online is the condition report that is what really creates the confidence in the buyer is being able to get a clearly understandable easily read condition report. And as an industry we’re about to introduce an auto grade that we call, where we actually have a standard grading system for vehicles within the industry and as we introduce and this is not just an ADESA issue, this is an industry issue. But, as we introduce as grading system then there will be a push to get a more standardized condition report. The day we might be writing 35 condition reports, definitely for a 35 different customers and eventually this industry has to get down with a more standardized condition report that people don’t really have to stop and figure who the seller is and what the condition report differences are and just make it more standardized and easier for buyers then I think it’s an ever evolving process, but this auto grade is going to be a great start for us.
John R. Lawrence - Stephens Inc., Research Division: Great, thanks for taking the question, good luck.
James P. Hallett: You’re very welcome.
Operator: Now we will hear from Bill Armstrong with CL King & Associates.
William R. Armstrong - CL King & Associates, Inc., Research Division: Good morning, gentlemen.
James P. Hallett: Hi, Bill.
William R. Armstrong - CL King & Associates, Inc., Research Division: You mentioned earlier in your opening comments of repossession volumes now increasing, I was wondering if you could may be expand on that a little bit, how much of, how big a piece of the pie is that for you and what sort of percentage increases are, are you seeing at this point?
James P. Hallett: Yes, I would just say that I don’t think we will get into that level of detail, but you know…
Eric M. Loughmiller: Let me give you some industry stats, at the peak which was what probably back in 2010, repose in the industry were about 1.9 million unit sold out of about 9.4 as I recall and that number has dropped down to more or like 1.1 million to 1.2 million. So, and what we’re saying is we’re going to probably see that number grow again Jim, that’s I think the numbers those are industry numbers Bill.
William R. Armstrong - CL King & Associates, Inc., Research Division: So, the peak was 1.9 out of how many?
Eric M. Loughmiller: Out of 9.4 million sold by the industry in roughly.
William R. Armstrong - CL King & Associates, Inc., Research Division: That’s helpful. So, we’re still going to see that coming back in. Okay.
Eric M. Loughmiller: I think in 2009 1.9 out of 9.1, I just looked up the numbers.
William R. Armstrong - CL King & Associates, Inc., Research Division: Okay. And on the salvage side, revenue per vehicle I think, historic to moderate is that actually negative territory in terms of year-over-year comparisons when you exclude Sandy or we just looking kind of low single digit increases?
James P. Hallett: Low single digit increases if you, again I gave you the annual numbers that you have seen in the supplement that would have been taken, the good news is revenue, revenue was up by more than the volume year-over-year quarter and Sandy was not a big impact on the fourth quarter when you break those numbers out. So, we did see some improvement in revenue per vehicle in the last several months of the year. And again, the way we achieve that Bill as you know is through buy fees, the fees are pretty much static.
William R. Armstrong - CL King & Associates, Inc., Research Division: Right. And how about the overall selling prices of these vehicles at the auctions, I would imagine that must be starting to come down a little bit?
James P. Hallett: Yes, slightly moderating, I would say that we look at it maybe 2%, maybe little bit less, but it’s moderate.
William R. Armstrong - CL King & Associates, Inc., Research Division: Got it. Okay, thank you very much.
James P. Hallett: You are welcome.
Operator: And now we will hear from Colin Daddino with Gabelli & Company.
Colin Daddino – Gabelli & Company, Inc.: Hi guys.
James P. Hallett: Hi Colin.
Eric M. Loughmiller: Hi Colin.
Colin Daddino – Gabelli & Company, Inc.: Few questions, first one talking about AGESA, kind of wanted to hear on what the supply channels look like, may be five years from now and kind of we understand the leasing is coming back but maybe, specifically the dealers and the rental companies?
Eric M. Loughmiller: Well, our vision we have limited the three years Colin just to keep that in perspective because we kind of look at the SAR, the average three years lease as a key driver of factual information, so maybe we limit our visibility to three years if that’s okay?
Colin Daddino – Gabelli & Company, Inc.: That’s for me.
Eric M. Loughmiller: And as you look at three years, again commercial is growing, historically you might see that cause dealers to look for alternatives to retailer car also differently. But again, I will go back to where we were through the 2004 through 2009 about half the industry was dealer and half the industry was commercial. Jim, would consider that as fair of kind of balance and within that we are going to see these off-lease cars continue to drive because leasing seems to be the sales to – of the capped finance companies in the OEMs.
James P. Hallett: Colin, I think you think about three years, I think well I mentioned in my commentary that 2016 gets the industry to at least 9.7 million units and all those segments are going to contribute somewhat, but again, I would repeat what Eric said the major driver will be these off-lease cars and if you look at leasing penetration now as a percentage of new car sales it’s record highs and we mentioned during many calls that we expect that leasing will even get to a higher level of penetration as we start to move towards ’15 and ’16. So, I think the bug of our part is going to come now, but as you think about repose just with the credit standards, the more credit you rate and obviously the more repose you’re going to have just the fact that simple math. And then, you mentioned rental cars, rental cars has always been rather small segment for us and I wouldn’t expect it to get dramatically different. But either way, I wouldn’t expect it to go much lower or not solely much higher, I think it will remain pretty much stable and we’re hopeful. We’re hopeful of the increase in supply that we can maintain our dealer consignment levels. And quite frankly dealer consignment was a pleasant result in 2013 and we’re hopeful that we can maintain those levels.
Colin Daddino – Gabelli & Company, Inc.: Okay, great, sounds good. And then, my other question kind of relates to, if there are any kind of changing land need, so if you’re focusing on the online and the upstream open buying lands does this kind of change how you think about the amount of land you might need at a physical auction or is it still needed for ancillary service items and?
James P. Hallett: Yes. So, I think and that’s a question that we get challenge with often even internally. And I think we’re absolutely, I believe that there is still a place for the Brick and Motor here and I don’t believe Brick and Motor is going away. But, I believe that as we look forward and as we assess Brick and Motor we may determine that we may need less other. We’re definitely going to need to put these cars up, we’re going to need to marshal these cars and in many cases we’re going to need to provide reconditioning and the mechanical and the other services that go along with it that we provide to our ancillary services. So, we’re going to need Brick and Motor, but to your point, where we may have gone out to a market and looked at maybe as an example, looked at a 100 acre site, maybe that site become something more like 50 acres, just by way of example.
Colin Daddino – Gabelli & Company, Inc.: And then, for land you might already have, is there, what kind of flexibility do you have there to, either do other things with it or I think it mostly leased to or break the leases that kind of stuff?
Eric M. Loughmiller: Well, we own 38 of the ADESA properties which is a good place to be. Here is the really good news. Land is always in demand in one of our businesses and we’ve had a number of situations recently where if we’re not using the full complement of ADESA property, Insurance Auto Auctions is constantly looking for temporary locations of stores especially with the weather we have been having. So when we have idle land Colin we sell it. Our goal is to get rid of it and not worry, we are not land speculator, so get rid of it, turn it into cash and we don’t sit on lot of excess land. But to the extent that we might add capacity available, Jim, you might talk about specially sales as a good use of land, right.
James P. Hallett: Yes, one of the things that we recently announced is, we recently announced that Tom Caruso has become our Chief Client Officer at the KAR level and with Tom’s focus is really going to be is taking a look at all of our businesses and how we can better utilize and work together and I know one of the assessments that we have been doing is we’re assessing the opportunity to bring more salvage sales into some of our existing whole car sales. Now, that’s now is that easy because there are different permitting and different licensing requirements but one of the things we are looking at is how do we better utilize some of these facilities and so there is the salvage opportunity but then there is also the specialty sales and as you’ve heard me talk about in the past we’re looking at other opportunities whether be in heavy-duty equipment or whether be in boats and RVs and motor cycles and watercraft and those types of things. So we are creating some specialty sales in selected spots around the country so but again I think Eric said it, maximize it and don’t sit on it if it’s not producing any results.
Colin Daddino – Gabelli & Company, Inc.: Okay, great. That’s helpful, that’s all from me. Thanks guys.
James P. Hallett: Thank you.
Eric M. Loughmiller: Thank you.
Operator: (Operator Instructions) Now we are going to go ahead and take a question from CJS Securities, if you could please announce your name.
Robert Labick – CJS Securities, Inc.: Hi, it’s Bob Labick from CJS Securities.
James P. Hallett: Hi Bob.
Eric M. Loughmiller: Hi Bob.
Robert Labick – CJS Securities, Inc.: Thank you for the very helpful color on the online only, I want to just go back there for a second, I think you said basically and roughly 20% of your volume was on the online-only, could you give us a sense and how much of that is closed versus open and then with the push towards that the open in 2-3 years from now where do you see: a) online-only, 20% greater or smaller and then the mix between the open and closed?
Eric M. Loughmiller: Bob, I will start with that, if the online-only it’s really the recovery in the office vehicles we knew would start in the private label online only they were starving for that inventory. We’ve gone through several years with a lack of supply of one to three year old used cars because of what happened in ’08/’09 and the star drop being and there is a lack of supply. So, naturally we expect that there will be a heavy conversion in the private label and that’s occurring and then Jim, you might go on with that. As more cars come there aren’t more franchise deal, to be in a private label closet you have to be franchise dealer of the nameplate that the car is being sold. So, we’ll look at that.
James P. Hallett: Just a breakdown although, if I got your question right, last year we sold 34% of our vehicles I think it was online and is right now 34%, 35% range. It is important to understand of that 34%, 35% half of those were sold in an online closed venue or online open venue and the other half was actually sold at a physical auction where it was actually sold to a physical buyer or a buyer bidding online in the physical. So there is kind of 50:50 split there and I think was the question or the point you’re gaining to I think.
Robert Labick – CJS Securities, Inc.: Of the 410,000 number that you gave us for the online open close and open on that, online only close and open, trying to get a sense of, is that 80% closed, 20% open and then also of that 410,000 that’s 20% of your overall volume, does that become 25%, it sounds like you’re saying it’s probably close to maxed out at 20% that’s what I’m trying to get a sense of?
Eric M. Loughmiller: You know, that’s a good point. It’s a heavier concentration on closed then it was going back to the ’09 and prior period when we looked at OPENLANE and some of the numbers we’ve talked about before. We don’t give that breakout at this time and I don’t want to give you numbers right now and have to file an 8-K. But, I’ll tell you it is heavier than it was historically, as I mentioned it’s substantial majority is in the closed right now more than perhaps patterns prior to the significant decline in the off-lease vehicles Bob. And as we see that we do think and Jim mentioned this, we do think more will end up in the online only open getting it out of the closed changing the economics and more of those will even get you through that part of the channel to the physical auction. So, overtime we do think it diminishes and I did some quick math and you’re correct, it’s just under 20% of our volume, you can calculate those numbers with what we gave you was in the online only, but not all of that is closed. And we will disclose 35%, so we’re a little bit more than half right in 2013, it has been about half in ’12 and now we are little bit more than half it’s in the online-only compared to that 35% that was sold to online buyers.
James P. Hallett: And again Bob, I can't predict where it’s going to go but we do think that the close – and that’s why we begun giving you this additional disclosure of what’s the revenue per unit online-only, what’s going to take that number from a decline to an increase will be more moving into the open environment and I think it allow investors to track that.
Robert Labick – CJS Securities, Inc.: Okay, those are very helpful numbers. And just one more on ADESA, obviously volumes have been very strong, the gross margin sequentially appeared to be down a little bit versus Q3 on basically flat sales sequentially, just curious the driver of the change there and where you expect gross margin, you mentioned gross margins were IAA should be up next year where do you see them for ADESA this year?
James P. Hallett: Yes, good question I mean again the gross profit I don’t consider the sequential move to be that significant there is a low seasonality gets into labor utilization and throughput in the auction in the fourth quarter or so and then you get some mix issues that were implemented, I really again continue to believe over the long term we have the opportunity to improve our margins in both of our businesses ADESA, IAA probably AFC is a more static margin business. So, I look at the opportunity of improving it, you would improve it at the gross profit line, it just by having more volume and increases the efficiency at the auction so that’s where you get back. The mix has worked in our favor little bit when we are little heavier online-only and it’s private label close and while it’s lower revenue per vehicle does enhance the gross profit percentage for us. So again, I would just tell you Bob, I think we will be on the path for some study improvement as the volumes increase and again to quantify it is hard to do.
Robert Labick – CJS Securities, Inc.: That’s great. Thank you very much.
James P. Hallett: You are welcome.
Operator: And at this time that does conclude our question-and-answer session for today. And I would like to turn the call back over to Mr. Jim Hallett for any additional or closing remarks, please go ahead sir.
James P. Hallett: Thank you Jennifer, I will just wind up by saying thank you to everybody that’s on the call this morning, we appreciate your time and we appreciate your interest in our company. As a management team I can tell you that we feel very confident in the position of all of our businesses and more importantly we feel confident and look forward to delivering the results that we’ve outlined here for you today. So, with that said, we will say thank you and we’ll look forward to following up with you all and talk to you in 90 days from now. So, have a great day, thanks.
Operator: Thank you. That does conclude our call for today, we do thank you all for your participation.